Operator: Good morning, ladies and gentlemen. Welcome to the Kinaxis Incorporated Fiscal 2020 Fourth Quarter Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I’d like to remind everyone that this call is being recorded today, Thursday, March 4, 2021. I will now turn the call over to Rick Wadsworth, Vice President of Investor Relations at Kinaxis Incorporated. Please go ahead Mr. Wadsworth.
Rick Wadsworth: Thanks, operator. Good morning, and welcome to the Kinaxis earnings call. Today, we will be discussing our fourth quarter and year-end results, which we issued after close of markets yesterday. With me on the call are John Sicard, our President and Chief Executive Officer and Richard Monkman, our Chief Financial Officer and Blaine Fitzgerald, our Executive Vice-President of Finance. Before we get started, I want to emphasize that some of the information discussed on this call is based on information as of today, March 4, 2021 and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release, as well as in Kinaxis' SEDAR filings. During this call, we will discuss IFRS results and non-IFRS financial measures. Reconciliation between the two is available in our earnings press release and in our MD&A, both of which can be found in the Investor Relations section of our Web site kinaxis.com and on SEDAR. Participants are advised that the webcast is live and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations section of our Web site. Neither this call nor the webcast archive may be rerecorded, or otherwise reproduced, or distributed without prior written permission from Kinaxis. To begin our call, John will discuss the highlights of our quarter, as well as recent business developments, followed by Richard and Blaine, who will review our financial results and outlook. Finally, John will make some closing statements before opening up the line for questions. We have a presentation to a company today's call, which can be downloaded from the Investor Relations homepage of our Web site kinaxis.com. We will let you know when to change slides. I'll now turn the call over to John.
John Sicard: Thank you, Rick. Good morning. And thank you for joining us today. First, as always, I hope you and your families remain healthy. Nothing matters more. As vaccines are being rolled -out. And we head towards what we hope to be the ending stages of this pandemic. We're mindful that there's still lots of work ahead. So I encourage everyone to keep doing their part.  We remain forever grateful to the frontline workers everywhere and extend our sympathies to families that have been deeply affected. I continue to be amazed at the resilience of Kinaxis employees and their ability to remain efficient and effective during this prolonged work from home condition. As you can see on Slide 3, I'm very pleased to report that our quarterly results were once again very strong across the board, including SaaS revenue growth of 24% to $39.8 million, total revenue of $54.9 million and then adjusted EBITDA margin of 11%. Turning to Slide 4, we're also very pleased with our 2020 full year financial results. Compared to our initial guidance for the year, we came in at the high end of our SaaS revenue growth targets and met or exceeded every other target including total revenue, subscription term-license revenue, and adjusted EBITDA margin. I couldn't be more proud of the team for achieving our goals during such an unusual and unpredictable year. As you will see on Slide 5 , and as we've previously mentioned, COVID had an effect on our markets, most notably mid-year in 2020, when we saw some deal delays, and in some cases, more scrutiny on overall deal size and project scope. As always, the bigger impact of such delays is on revenue in future periods. So the net effects have been factored into our 2021 guidance. Q4 on the other hand, saw the return to very strong momentum with incremental business significantly higher than the fourth quarter of 2019. And in fact, achieving the second highest quarterly incremental bookings performance ever. We also want a record number of new accounts in the quarter. This is reinforced our confidence for 2022 and the longer term. As you can see on Slide 6, during Q4 and since we want a number of key customers, some of which I can name now, in life sciences and pharmaceuticals Morphosys was joined the Kinaxis family. In high tech, we won Crestron Electronics Sign and Marvell Technology Group. In the industrial market, we won ESCO. And I'm absolutely thrilled to name MARS as a global customer. Our customers tell us that the key reason we earned their business is our entirely unique concurrent planning value proposition and the unmatched platform that delivers it rapid response. Additionally, just last week, we were positioned furtherest on the completeness of vision axis, and in the leaders quadrant of the 2021 Gartner Magic Quadrant for supply chain planning solutions. And we're also recognized for the ability to execute. This is the seventh consecutive time Kinaxis has been named a leader in the Gartner Magic Quadrant related to supply chain planning. And we're thrilled with this recognition. Another reason for our recent success is the rapid growth in our sales team over the last three years. Today, almost half of our account executives have over 18 months experience. An important milestone as our typical sales cycles are 12 months to 18 months. This season group is ready to fully contribute. Finally, we're seeing momentum around our rapid start program. Our offering that takes full advantage of our knowledge of industry best practices to set customers on the path to supply chain transformation in as little as 12 weeks. We're thrilled to have several recent customers take advantage of this program. COVID has made companies increasingly aware of the need for a rapid return on investment to de-risk major purchase decisions. We believe that rapid start can accelerate new customer adoption. And while initial deals may be smaller, they offer tremendous advantage and upside is customers see value from rapid response. Assuming the continued recovery to a more normalized business environment, we expect our current momentum and positive outlook will support our target of 23% to 25% SaaS growth in the mid-term including 2022. Our 2020 year-end sales pipeline grew by more than 40% from 2019. As manufacturers continue to recognize the urgency and driving hyper agility in their supply chain, we made several key strategic investments in 2020. Both organically and by acquisitions, which will better enable us to execute on this growing pipeline, accelerate our product innovation, and exceed the needs of our growing customer base. I am confident that Kinaxis has quite simply never been more relevant or in a better position than we are today. I'll make a few more comments about that at the end of the call. But for now, I'll ask Richard and Blaine to discuss results for Q4 and the year as well as our outlook for 2021.
Richard Monkman: Thank you, John and good morning. As a reminder unless noted otherwise, all figures reported on today's call are in U.S. dollars under IFRS. Looking at Slide 7, total revenue in the fourth quarter was down 2% to $54.9 million a strong growth in both SaaS and Professional Services revenue was offset by the expected cyclical decrease in subscription term-license revenue. SaaS revenue grew 24% to $39.8 million driven by new customer wins as well as the expansion of existing customer subscriptions. Subscription term-license revenue was $1.9 million down 84% from the comparable period, but slightly ahead of our expectations for the quarter. This revenue item is linked to the normal renewal cycle of our customer hosted software subscriptions. Our Professional Services activity was strong again, resulting in $11.3 million in revenue or 27% growth over the corresponding quarter of 2019. As previously noted, this revenue will vary from quarter-to-quarter, based on a number, size and timing of customer projects underway, as well as proportion of work assumed by our partners. Maintenance support revenue for the quarter was $1.8 million, a decrease from the same period and 2019. The decrease was solely due to a one-time adjustment to revenue allocated to the maintenance support component of an existing customer’s subscription contract. Supported by a backlog of more than $12 million for 2021, we expect future maintenance support revenue to be just over $3 million per quarter. We continue to be pleased with the diversity and strength of our total revenue base. For the year, our 10 largest customers accounted for 27% of total revenues, with no individual customer accounting for greater than 10% of total revenues. Gross profit decreased 16% to $34.8 million, representing a gross margin of 63% compared to 74% in Q4 of 2019. The change reflects a few items. First, the significantly lower level of subscription term licensed revenue, which carries nearly 100% gross margin. We also made important strategic investments in our cost of revenue, including professional services, customer support, and SaaS delivery capabilities throughout 2020 organically, as well as through acquisition. These investments will help Kinaxis support our ever expanding base of customers. Adjusted EBITDA margin in Q4 was 11% compared to 32% in the fourth quarter last year. In addition to the impact from the lower portion of subscription term-license revenue, we made major investments in our product development team in 2020, as well as grew our operating teams across the organization globally. Overall, including two acquisitions and our organic hiring, we grew the Kinaxis team by roughly 50% in 2020. These investment initiatives are designed to further scale our operations to support anticipated revenue growth. We had a loss of $1.6 million in the quarter compared to $7.8 million profit in Q4, ‘19 largely due to the factors I've just reviewed. Q4 cash from operating activities was $3.2 million compared to $8 million in the fourth quarter of 2019. At December 31, 2020, cash, cash equivalents and short-term investments total $213.1 million compared to $212.6 million at the end of 2019. During the year we used approximately $62 million of our cash to fund their acquisition of Rubikloud and Prana during the year. Moving to Slide 8, full year 2020 results included total revenue of $224.2 million up 17% from 2019. SaaS revenue of $148.9 million up to 25%, subscription term-license revenue of $17.9 million, a decrease of 32%, which as we previously advised, is simply a reflection of 2019 being the high point of the normal three-year cycle of customer hosted subscription renewals. Adjusted EBITDA margin of 24% compared to 30% in 2019. Profit of $13.7 million compared to $23.3 million. And cash flow from operations of $59.5 million up to 62% from 2019. As noted on Slide 9, our minimum contracted revenue backlog remains very strong. As of December 31, 2020, it grew by 12% to $381.3 million as detail and notes 16 to our financials. This amount includes $353 million of SaaS revenue backlog which represents a 14% increase from December 31, 2019. Since December 30, 2018, backlog has grown at a CAGR of 27%. Our 2020 year-end backlog we’ve recognized over the following periods. $158.9 million will be recognized in 2021, of which $144.5 million relates to SaaS business. $113.2 million will be recognized in 2022, of which $104.9 million relates to SaaS business. And $109.2 million will be recognized in fiscal ‘23 and thereafter which $104.1million relates to SaaS business. Total bookings in Q4 was $61.5 million, of which SaaS revenue bookings were $58.4 million. As we announced yesterday, I will be retiring August 1, at which time Blaine Fitzgerald, our Executive EVP will transition into the CFO role. It has been an absolute privilege to help Kinaxis and a success and becoming innovative, high growth profitable public company. While it's been a pleasure working in High Tech for the last 40 years, the past 15 years with Kinaxis has been the most rewarding and challenging by far. While Kinaxis has amazing technology and customers, its people have made the difference. Blaine has been an outstanding contributor since we recruited him one year ago as part of that transition plan. Blaine will be joining Rick and I to support a number of investor meetings in the months ahead. As you will have the opportunity to meet Blaine. I know you will also be impressed by his proven understanding of our business, personal integrity and strong financial skills. I know I'm leaving Kinaxis in great hands. And with that, I'll turn the call over to Blaine to discuss our guidance for 2021.
Blaine Fitzgerald: Thanks, Richard. It's been an exciting year. And it's been invaluable to work so closely with you throughout. I look forward to continuing your record of success at Kinaxis. I also look forward to getting to know all the shareholders, analysts and investors on this call over the coming months. If we move to Slide 10, as John explained, the COVID related delays we experienced in the middle of 2020 have a bigger impact on 2021 size revenue than in 2020. That is simply the nature of a subscription business model and long sales cycles. Given that fact, the backlog Richard just outlined and our current outlook, we are introducing guidance for 2021. We expect 2021 SaaS revenue growth to be between 17% and 20% still a very healthy outlook given the circumstances. As we've previously communicated, based on the normal cycle of customer hosted subscription renewals, we expect subscription term-license revenue to be between $3 and $5 million in 2021. The underlying base of subscription business from these customers remains materially unchanged from 2020 in recent years. We expect total annual revenue for 2021 to be in the range of $242 million to $247 million. We expect an 11% to 14% adjusted EBITDA margin for 2021. This estimate is primarily a reflection of COVID related incremental subscription booking delays in 2020. The lower proportion of subscription term-license revenue in 2021, which compared to 2020, drives an approximate $14 million reduction in adjusted EBITDA on its own, and the strong level of strategic investments we undertook in 2020, which is setting us up very well for future growth and scale. Looking at other potential targets for 2021, we expect the gross margin in the 63% to 65% range. Sales and marketing to be approximately 24% to 26% of revenue. R&D to be roughly 24% to 26% and G&A to be in the 16% to 18% range. Finally, CapEx will be between $33 million and $38 million dollars. This amount is roughly equally split between significant expansions to our data center capacity to support our growing customer base, and investments in our new Kinaxis headquarters. When the building is ready in early 2022, we will be excited to bring the team back together to a new safe state-of-the-art facility that will help us attract world class talent. Moving on to Slide 11, consistent with the strong bookings momentum we started to experience in Q4, and our elevated end of your pipeline, we anticipate that 2021 will be a much better year for signing incremental business and winning new customers. At this time last year before the pandemic, we stated our belief that 23% to 25% SaaS revenue growth was sustainable over the mid-term. We delivered that performance in 2020 largely of the support of strong bookings in fiscal 2019. While the COVID related delays from last year forced a slight deceleration in SaaS growth in 2021. We continue to believe that 23% to 25% SaaS growth is achievable again in 2022. In 2022, we will also hit the peak of our renewal cycle for on premise customers to subscription term-license revenue should grow to $24 million to $26 million in that year and gross margins to expand to the high 60s. Operating expense growth rate will also temper over the next couple of years, so we thought we would expect adjusted EBITDA margin to be in the 20% range for 2022. Naturally, we will provide specific guidance on our usual schedule. We see room for improvement in SaaS growth, gross margin and adjusted EBITDA margin in the longer term. As always, we are building for the long-term, and we'll make investment decisions based on what we deem to be in the long-term interests of the company at that time. Thank you for your continued support of Kinaxis. With that, I'll turn the call back over to John.
John Sicard: Thank you Blaine. Turning to Slide 12, as I mentioned earlier, I'm very confident that Kinaxis has never been in a better position in our markets. I'd like to briefly touch on some further elements of our strategy that are key to supporting our growth ahead. Our pace of innovation has accelerated and we remain fully focused on product dominance in our field. Our sales team can already offer our customers and prospects more value than ever before. And we're releasing even more revenue generating product capabilities later this year, like our AI enabled Command and Control Center. We will also continue to remain open to product enriching acquisitions. We will continue to significantly expand our data centers to ensure an ongoing premium level of service delivery to our customers. We are also continuing to grow the programs and points of engagement with our existing customers, including up to the most Senior Level Executives to ensure that we're consistently exceeding their expectations. We're getting greater support at each step of the customer engagement process by a rapidly expanding group of partners. We recently signed five new system integrator partners, who will take on professional services engagements to help our global customer base digitally transform their supply chains. We also brought on five new referral partners, both consultancies and solution providers who are equipped to recognize the fit between prospects, business needs, and rapid response capabilities. We expect to release details of these new relationships soon. And finally, our brand new solution extension partners are helping Kinaxis expand rapid responses capabilities for enhanced customer value, greater stickiness, and entirely new revenue opportunities. You can expect us to add more new partners across every category in 2021. All of these developments would be impossible without our amazing team and our people matter here culture that we support and create every day. On that note, I would like to say a personal thank you to Richard. He's been an invaluable partner to me, and the full Kinaxis family throughout his long tenure. He has helped Kinaxis us grow in a diligent corporate steward, taking us public and dedicated himself to making sure that the Investment Committee understands our performance and future opportunities. Truly, the company wouldn't be in the excellent position it is in today without his very significant contributions. I'm grateful to Richard for ensuring that the transition of his role will be entirely seamless, and I look forward to continuing to work side-by-side with such a great talent as Blaine. Finally, as always, thank you all for taking the time to join us on the call today. With that I'll turn the line over to the operator for Q&A.
Operator: [Operator Instructions] Please limit yourself to two initial questions. Thank you. We'll pause for just a moment to compile the Q&A roster. Your first question comes from Richard Tse with National Bank Finance.
Richard Tse: Yes, thank you. Just first I want to say congratulations to both Richard and Blaine for your respect to retirement and promotion here. John, it's nice to see the backlog trending up here. When it comes to your prospects in general what has been the conditions that they've been waiting for to really make decisions to move ahead and do you think that's pretty much behind this now and you know how we look at this going forward? Thanks.
John Sicard: See, it's a very great question, Richard. And the easy answer is, time to value under COVID, the customers and prospects that we're talking to today are looking for extremely rapid, healing if you will, every manufacturer that we talked to is in a state-of-pain. And so they're looking for their own inoculation. This is the start of a transition. This is a start of their transformation. But as I said, in the opening remarks, the rapid start program is gaining speed. And it's because our prospects and the pipeline that we're looking for, they're looking for value within the three to five months timeframe. They're looking to feel better fast. And then, I'd say the prominent change in terms of the discussions we're having with prospects.
Richard Tse: Okay, great. And then you showed a chart in the deck on that sort of the Gartner landscape here. So when you look at the bids that you're involved in today, and certainly the pipeline, are you seeing kind of the same level or fewer competitors in the market today?
John Sicard: We're still seeing the same level traditionally, and it continues to be the case. The large ERP providers, such as SAP tend to be the incumbents. And that remains to be consistent. We certainly see others in the mix as well. It's a competitive landscape as Gartner has described. But I wouldn't say there's a significant shift in who we typically see, I will say that this notion of driving hyper agility has become incredibly -- our customers are incredible -- and prospects are incredibly aware of that. Every supply chain is found itself in the same condition, right; I'd say the pure math based models are in a state-of-flux. They're in a state-of-shock. And a lot of our prospects are learning what it feels like to have an agility muscle that has atrophied and that's why they're turning around thinking, okay, incrementalism is dead. We need a giant breakthrough here. And they're turning to end-to-end concurrency as a base model.
Richard Tse: That's great. Thanks. I'll pass the line. And get back in the queue.
Operator: And your next question comes from Stephanie Price with CIBC.
Stephanie Price: Good morning. Congrats, Richard, on your retirement and welcome, Blaine. I just had a question around the 2021 subscription guidance, and I was just curious, it was impacted by any additional non-renewals. If you could talk a little bit about the customer churn rate here?
Rick Wadsworth: Thank you, Stephanie, for your best wishes, and a very good question. We continue to have over 100% subscription renewal. Sorry, 100% net revenue retention. And no, it has not been we noted, the main application really has been those headwinds that we experienced and are in a year, we've now continued to build only the funnel, but also the sales team. And so we're very confident with the guidance that we've provided both for 2021 as well as in the mid-term.
Stephanie Price: Okay, great. And maybe on that sales pipeline and congrats on that Q4 bookings momentum. Are you seeing the sales process start to normalize here? It sounds like maybe that's the commentary that you're given just wanted to confirm that?
Rick Wadsworth: Yes, definitely you can see that, I'd say the middle of 2020 is when we felt -- I'd say the COVID related headwinds. And coming out of Q4, we saw the momentum with the second best bookings performance in our history. And we started Q1 very strong. So obviously, we're optimistic that we're out of the COVID headwinds here, but as you can appreciate, we can't necessarily see all the things in our future. But all things remaining the same in terms of the recovery, the business conditions recovery, we feel like the momentum will continue.
Stephanie Price: Great. Thank you very much.
Operator: Your next question comes from Paul Steep with Scotia Bank.
Paul Steep: Great. Good morning. Congrats Richard on the retirement and welcome Blaine. If we circle in on the level of investment that you're continuing in the business in ‘21, what are the key metrics as a team you're watching that give you confidence on sustaining that level of investment, what would you look to maybe either temper or increase or decrease that point? Thanks.
John Sicard: I'll start and maybe pass that on to Richard and Blaine. But first, it's the growth in the funnel. We have a very rigorous process, in terms of how we scrub and how we validate anything that enters into it. It's just the way we are, we don't know another way to be. And so when we saw and it was expected, I mean, supply chain transformation and supply chain excellence on the lips of everyone. Teenagers know what it is now. And so as you would imagine and as transpired throughout the year, the pipeline grew by 40%. We know that there's some lengths to sales cycles, these are not simple decisions that these manufacturers are making. They're making a generational shift and what governs their supply chain. We do not want to be crushed by that success. And so we're investing ahead of that pipeline. So that is, first and foremost, the driver for how we budget our expenses and our investments. Richard, maybe I'll ask.
Richard Monkman: Yes, and Paul, as you can appreciate there are certain expenses, which I would sort of really equate as a step function. So during the year and primarily with the acquisition of the Rubikloud team, we had an opportunity to do a significant increase into our R&D capabilities and strengthen our AI as well as support for CPG and retail. So we grab that opportunity. We're going to see, not that as significant increase in R&D this year. But it was key to do that. Similarly, what we've done is we've increased our investment, and basically our capabilities of supporting customers throughout the world. So that includes a combination of data centers. And so we're continuing to invest capital and people in those data center capabilities. The global customer care organization, which is so critical to continuing to connection with customers, we have regionalized that to a much larger degree. And we've strengthened our capabilities in marketing as recognized and I think, you did attend the virtual connections and other activities. So there was a number of initiatives that we did, and that really resulted in that 50% or more increase in people this year. Again, now that we've made those key investments, it's a matter of looking towards our return on those investments. And, and so it's a matter of really the timing of that subscription revenue growth in the out years aligning. So I think we probably are at a higher level of from an operating margin perspective, R&D, G&A marketing this year, but that's, again, that's our cadence we'll provide guidance for 2022 next year.
Paul Steep: Okay. Just to follow up on that, can we talk a little bit about the velocity of the new product development, namely Rubikloud? And are those products that you're investing in ramping on this year? Are those fully factored into the F ‘22 guidance in terms of the return to the sort of 23% plus range? Or is that incremental that we should think about it? Thanks.
John Sicard: Yes, so from my perspective, I think 2020 was a year where we produced more innovations than any that I can recall, at least in the immediate timeframe, it was a great year for innovation and anyone who attended the connections, the virtual connections conference, which we had just unbelievable 3,000 people registered. Witness, there was some amazing innovations and those are slotted to be in generally available state as part of 2021 on the roadmap. And so yes, we have factored all of that in. As not only our 2021 guidance, but as well as 2022 as it relates to Rubikloud. The thesis behind it, as mentioned in previous calls was the fact that they had filled whitespace in market segments that we already serve. Predominantly a CPG, to some extent, life sciences and I'm pleased to say that that thesis has come to fruition through 2021. The other key thesis was the strength of their machine learning bench and essentially doubling our own and that integration has gone exceptionally well and the fourth being their attraction in the retail space. And so we're going to continue the integration step, I'd say the third element of that thesis is the biggest lift of them all. We're integrating their technology stack along with ours. And that's been factored into our investment in 2021, as well as the predicted return on that investment in 2022 and beyond.
Paul Steep: Thank you.
Operator: Your next question comes from Paul Treiber with RBC.
Paul Treiber: Thanks very much, and good morning, and congratulations to Richard and Blaine. Just in regards to the disclosure and incremental bookings, which I think is very helpful. See when you look at the year in its entirety, it still looks like there was obviously a headwind from COVID, in the middle of the year. And as a result, the year looks down a little bit, how much bookings you think have shifted to the right as a result of delays around COVID? And do you expect those to close in the next several quarters and sort of get back on track?
Richard Monkman: Well, thanks, Paula. So the short answer is, yes. You could see, from the results that we published, how strong Q4 was and as John noted, we have been continue to close business in this in this quarter, which we'll be sharing with you when we provide the Q1 numbers, obviously. But there's another trend that has been very interesting. And that is the expansion component of our business. So these are customers signing up for broader use of rapid response, some of the new innovative services and applications that John has discussed. We're seeing an increase in that weighting. And so, while the time we went out as a public company was about 50/50 and it sort of more with the focus on some very, very large new name customers down to the sort of two-thirds, one-third, two-thirds being with new name customers. Over the last couple of years is returned to a more of a 60/40 weighting, and even a bit higher maybe in the 55%, for new names. So, and that is a combination of none of those services, but also the focus of the dedicated sales team, now just working with our growing base of customers. And so, the dynamic is, yes, we have some of the headwind issues that we talked about earlier for new named customers, but we've got a very strong base of existing customers that we continue to expand into. And so those I think are reflected in some of those dynamics.
Paul Treiber: Thanks. That's helpful. And then just secondly, I was hoping could you touch on the patent disputes that came up this quarter to the extent that you can directly speak about it or maybe just indirectly, what's been the impact or not on either bookings or just discussions with customers?
John Sicard: Well, it's certainly not something that we're going to discuss in this venue, given the nature of the issue. And when there is meaningful development, we'll certainly share that. We'll let our news releases do the talking for us. But I will say that we look forward to fighting fairly with BlueYonder in the marketplace as we continue our journey here.
Richard Monkman: But John, I don't think we've had any customer from a sales perspective impact so. No, no.
Operator: Your next question comes from Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Hi, good morning, I'll echo the congratulations to Richard and to Blaine. In terms of the guidance, if I take your SaaS revenue for Q4, and I annualize it, that gets me to 90% of your ‘21 SaaS guidance. And that's a higher coverage ratio than we've seen in prior years. So I guess my question is, is there some reason or explanation for that? Does that imply some incremental conservatism on your part or any reason to counter that? Thanks.
John Sicard: Thanks, Thanos and I am looking forward to getting to know you better throughout. The way that we look at our guidance, and we are pretty happy with the guidance that we provided. We look at it more as in terms of the opening backlog at a point-in-time. So our opening backlog at the beginning of 2020 for example, worked out to about 83% of our ending SaaS revenue. And so if we take that same proportion going forward and that same ratio, our guidance for 2021 and going forward is going to be exactly on par with what we saw historically.
Thanos Moschopoulos: I guess my thought on that was that the opening backlog doesn't take into account anticipated renewals, which you probably know are coming. We're looking at Q4 and realized that might take those future renewals into account. But anyway, I'll move on to a different question. If I look at the circle?
John Sicard: Well, I will just say, you did pick up that very good point in your research, and that, absolutely, that extra 20 odd percent, 20% is going to be driven by renewals by new name wins and expansion. And so absolutely depends upon the timing of those renewals in the year. We do have some lumpiness and what's really critical is within the current year, is the timing of when we secure a new name win. So obviously, if we close customer on July 1, a new name customer, there are six months of revenue. But assuming a three-year term, it's 100% impact in the years. And so, when we look at the as Blaine noted, we look at a number of measures and one of them being the minimum backlog. But it's also looking at the funnel and the turnover and just sort of allowing for where we think those timing of the deals will occur. And as is our practice, what we'll do is we'll update you and the rest of the market each quarter as we move through this journey on a new name win. So there's, at this juncture of the year, the best guidance really is to sort of use our rule-of-thumbs with regards to the backlog.
Thanos Moschopoulos: Okay, I appreciate the color. And then next if I look at the backlog, it suggests that you have $12 million of term license revenue in backlog for ‘21. You're guiding for only 3 million to 5 million. Can you help us understand the dynamics?
John Sicard: Well, there's two elements. So just a very, very brief refresher for customer hosted subscriptions. So, that same three-year commitment that we'll get from a customer, but they want to host it, we're supporting them hosting it. We have to take that and split into two components, the right-to-use component, which is the subscription term-license and then the maintenance support which is a residual. So the maintenance support is taken randomly, but the subscription term, as you know, is taken upfront. And so what's known to the $12 million the backlog is that maintenance support, so that that really covers that whole base. And we know that about, it's a three-year cycle whereby 2022 will be returned to the peak level of that from those existing customer renewals. But the maintenance support is pretty level. And so that one element where we've guided to just over $3 million a quarter, you can see that -- well, it's all a backlog, as at this time, and that backlog will increase as we close anticipated level of activity for those customers this year. But that is at the low point of the three-year cycle. And that the right-to-use component is the $3 million to $5 million subscription term-license that we're guiding to. So does that help? So, we're at a low point, but it's going to fill up the backlog for the main support component, but it's going to be at the low point for the subscription term-license.
Thanos Moschopoulos: Okay. That helps. I just thought that the disclosure the $12 million was going to fall to the term-license. But you clarified that -- right, okay. What you think --
John Sicard: We do have -- sorry, by the way, sorry, about that. We do have, as you can see, also, $2.2 million secured of that $3 million to $5 million number that we discussed.
Thanos Moschopoulos: Okay, great.
Operator: Your next question comes from Deepak Kaushal with Stifel GMP.
Deepak Kaushal: Hi, guys. Good morning. Thanks for taking my questions. I've got, follow-up. Congratulations, and follow-up questions to everyone else. John, you talked about or you mentioned competition earlier in the call, in terms of incumbents versus Kinaxis, I was wondering if you could comment on the level of competition you're seeing in terms of the pace of innovation? And is there a shift in your view on profitability versus accelerating the pace of innovation here in the market?
John Sicard: Well, I think, I've answered this way, in the conversations that I'm having and I've had a lot of them in the last six months, I spend an awful lot of time with the most senior leaders of -- some of the largest customers and obviously prospects. And what I'm hearing, as I mentioned, is this notion that incrementalism is dead, that these practitioners, these leaders are looking for a step function. They're looking for a generational shift, they're recognizing that the past 30 years, we followed the governance models that have been used to implement supply chains are failing, and perhaps COVID has accelerated the need for this level of transformation. So I might say that innovation is everything. They're looking to these practitioners, these chief supply chain officers are looking to leave it better than they got it. They're looking to set the next generation on a positive path. And they recognize that moving from a cascaded pure math based solution, accuracy without agility. This isn't the path, right, they're looking for a situation where accuracy and agility can live in perfect harmony. And this is where innovation matters, quite honestly, and why I'm as confident as I am knowing that the last 25 years at Kinaxis has been about driving hyper mobility for companies that needed and arguably we've never been in a state with more volatility. There's a lot going on and not only with regulations and there's a lot of people wondering what will the future regulations be? Is there going to be some on-shoring regulation. There's a lot at stake here. And so agility becomes a critical competency, I will say. So perhaps a long winded, but passionate statement about why I believe innovation is so critical to set these companies on a successful course for the next 30 years.
Deepak Kaushal: Got it. But just ask in a different way, for the next three to five years, do you think you'll have to spend more as a percentage of your revenue to maintain your innovation lead in the market? Or can you get back to the 30% margins in the past and still maintain that innovation lead?
John Sicard: I think that we can get back to that, we've always said it aspirationally, and we’ve always said 30/30. And that's been aspirational. And we do believe that in the future, we'll get back to closer to that range.
Deepak Kaushal: Got it. And then just one last question for Richard before he moves off to his next chapter. You know, gross margins are below 70% now, is there a structural change here now that you have a higher mix of costs related to your data centers? And likewise, is there a structural mix in the cash versus non-cash portion of cost of goods sold? Any color you can help? If you give that would be helpful. Thanks.
Richard Monkman: Yes, sure. So absolutely, we're making investments. In fact, we're making investments in all three components of the costs of revenue, which are in our case our Professional services, the broader customer success organization and at the data center. And now a lot of the data center costs are a P&L basis, our amortization. So, they do not impact adjusted EBITDA. But in terms of your structural question, it really is because of the weighting of the subscription term-license revenue. And at this juncture about two-thirds of our revenue is SaaS. And a lesser amount is related obviously to the subscription term-licenses, so about 8% or so. But the subscription term-licenses on that three-year cycle have been really with long-term customers. And so as we continue to grow our SaaS business, and that is a higher margin business, we're going to see a higher weighting and mix of that in the overall revenue line, it's going to have less of an impact as we continue to expand our revenue this subscription term-license. And so as John said, I see no reason why we couldn't move back towards that sort of 70% level. So we're going to continue to it absolutely invest. But as the weighting of the subscription term-license, sorry, as the weighting of the SaaS revenue continues to grow that is going to drive, that's probably the biggest driver for gross profit.
Deepak Kaushal: Got it. Thanks again.
Operator: Your next question comes from Suthan Sukumar with Eight Capital.
Suthan Sukumar: Good morning, guys. And congrats, Richard, and great to meet you, Blaine looking forward to working together. First question I had was on new customer wins. When considering some of the newer product capabilities, like the rapid response, a platform that that newest company has introduced recently, what do you think differently around the scope of solution being purchased today with some of the newer client wins?
John Sicard: Yes, I think in large part a couple of things that we're seeing with net new 1, the most expensive decisions or I'd say the most expensive mistakes that happen in supply chain happen on the demand side, if you get your demand wrong, if you're unable to respond to conditions of demand, it has massive downstream impacts. And so we're definitely seeing that as the primary motivator towards transformations. But as I noted earlier, we're also seeing that the importance of speed back to this rapid start program, where people are saying, hey, can you make me feel better, okay, in three to five months, I recognize that whole some transformations can take significant amounts of time for large corporations, large global corporations, but make me feel better in three months or less that kind of timeframe. And so we're seeing those are the two I'd say elements. Now where the speed to go-live okay, becomes a critical factor and it is typically focused on the demand side. The thing that we're seeing and again it's quite natural, you would see as a result of COVID. In some cases, demand is going through the roof for some and demand is falling under the floor for others. And that disruption regardless requires a lot of agility to either maximize the opportunity and make sure that you leave no order unfulfilled or that you can slow the supply chain down and make sure you don't end up with ballooning inventories.
Suthan Sukumar: Okay, great. That's helpful. And it sounds like the Rubikloud integration is progressing well. Any update here on your thoughts on M&A going forward? Do you see potential for more transactions this year as part of your overall growth strategy?
John Sicard: So thanks for that question. Indeed, as I mentioned earlier, the thesis behind the Rubikloud acquisition sort of had three prongs to it. And these are the first two and the people side of things, despite being under this isolation type conditions have been successful. We're thrilled with the talent and the management team and the intellect that that comes with along with that acquisition, and we're also happy we have added some customers based on the technology that they brought with them. I will say that the integration of the technology stacks as it relates to entering the retail market is a heavier lift requires some R&D, some continued R&D, which will, we're obviously investing in through 2021. We've said this, I said it earlier, as well, yes, and we are being a lot more thoughtful about accelerating customer value through acquisitions. And, and we're going to continue to be thoughtful through 2021 and beyond.
Suthan Sukumar: Good, thank you.
Operator: Your next question comes from Robert Young with Canaccord Genuity.
Robert Young: Hi, morning. Congratulations, Richard's been a lot of fun working with you the last several years. And it's good to be to Blaine. The couple of questions same time to be too long. The first one the middle of the year, it sounds like you're telling investors that the primary issue was customers that wanted immediate returns, they weren't able to get it and so they are delayed, planned deployments of Kinaxis. And so that suggests there's a bit of pent-up demand. Would you say that is correct? And that's maybe that's reflected in the 40% pipeline growth? And then the second part of the question would be around maybe just a continuation of Thanos question around the way that you calculate your guidance, it’s purely mathematical based on the backlog at that time. And so that pent-up demand or any kind of demand that wasn't able to convert middle of the year, despite high level of demand that would not be included in the guidance, if I understand the way you described it or correct that if you could. And then I'll pass on?
Rick Wadsworth: Thanks, Rob. I will answer the first half of that question and pass it off to Blaine for the second half. On the pipeline question, you're correct in that I'd say the trough occurred sort of mid-year. And while I can only theorize what was the cause of that trough I can imagine. And in fact, in speaking to a Chief Supply Chain Officer, as many of them were just absorbing the condition that they were in, right, recognizing that they had never, ever experienced as I mean, humanity the current planet has never experienced a global pandemic. It's been over 100 years. So I would say that middle of the year, many organizations were taking a pause and trying to figure out how to absorb the condition they found themselves in and that caused the delay, I think in terms of deal flow. And if I look at Q4, I might believe that those delays are behind us, and we're seeing some momentum now. And looking at the start of Q3, I might feel the same way. Obviously, I'm cautiously optimistic and that I can't predict what else will happen with COVID and COVID variants and alike. I do think that organizations now they're well past sort of the main event of COVID and recognizing that, okay, I get it, we need a transformation, and they're now exploring their options. And I think that every boardroom, I've had this conversation with a lot of Chief Supply Chain Officers, and they've agreed every board is asking their CEOs, what will you do next time. And that's what's fueling this desire to transform, right, this need to look at what governs supply chains differently. And so I think that is fueling the pipeline for us. And then the 40% growth that we've seen, I'd say, the second half of the year, we saw, more acceleration. But I'll turn it over to Blaine to comment on your question about guidance.
Blaine Fitzgerald: Yes, so if you go back to the conversation on sales guidance, there's really two main components that we look at beyond the opening that. And one of those is renewals. And it depends on the renewal cycle that we have at any point in time. 2021 is going to be a lighter renewal cycle than we see in most years. So that isn't as big a factor and how we come up with our guidance. The other factor obviously is exactly what you talked about, which is pipeline and pipeline conversion throughout the year. Now, when we consider it, we obviously don't look at just the annual pipeline, we look at it from where the pipeline's is looking to land for each quarter. And the Q3 and Q4 conversions that we're expecting to have will have a much smaller impact on 2021 revenue guidance going forward. So we think that what we have right now is the appropriate guidance for 2020. The start of the year is we were very happy with where it started out. It's exactly on par with what we've expected and so we're expecting to hit that guidance and continue on.
Robert Young: Great, thanks. Maybe just a clarification on the first one with John. Like, did the customers that wanted to deploy Kinaxis? Did they turn to other solutions? They could roll-out more quickly? Or are they waiting for the or they right time to roll-out Kinaxis is maybe the underlying question there?
John Sicard: No, I think it was more of a pause, not that they were looking for alternatives. I think uniformly, many organizations had to understand and absorb the condition they found. This is a real situation for supply chains and conversations I was talking and that I had, I was hearing things like trusted lanes that you had for years were open one day close to the next open the next day things that you knew to be certain and trusted were no longer trustworthy. And so many of them found themselves just working to absorb the condition, let alone try to figure out how to establish future transformation. And so of course, I'm pleased to see many of those customers that that had taken pause or many of those prospects that have taken pause become customers. Right. So that's the way I would describe the circumstance.
Robert Young: Okay, thanks. That's helpful.
Operator: And your last question comes from Daniel Chan with TD Securities.
Daniel Chan: Thanks, and congratulations, Richard and Blaine. I had some questions about what's built into the guidance, specifically for 2022 with the bookings accelerating near the end of the year. Let's call it a relatively easier year-over-year compare with 2021. What is the opportunity for the SaaS revenue in 2022 to accelerate beyond that 23%, 25% especially if bookings really accelerate throughout this year?
Blaine Fitzgerald: Yes, thanks for the question D. The 20% to 25% is right now our best judgment on where we think 2022 will land. However, we will provide updated guidance as we go through the year. The bookings that we're expecting to see the incremental bookings that we're expecting to see in 2021 should put us right in that range. But again, if we see Q3 and Q4 especially starting to come in higher than we expect. We will provide updated guidance towards the end of the year. At this point, we are thinking 2022, we're pretty excited with Richard transitioning out I've been put in a fortunate position to have a business that's never been in a better position to monetize off and some of the opportunities that we have in front of us. So with the Gartner and Q coming out and having this position where we are with our mature sales staff, with our product investment that we're investing quite heavily in the current year, I think we are going to be set up for a really great ‘22 and beyond. So it's exciting for me.
Daniel Chan: Okay, that's helpful. And then maybe I'll ask Rob's question a different way, second question different way. So you kind of looking at you use your opening backlog and you kind of say that 80% of your next year's revenue, with the bookings momentum that you have, is there opportunity that the current backlog makes up less than 80% of the 2021 revenue? If the bookings really accelerate, especially as you're exiting this year maybe in the first half of year bookings come in stronger is that an opportunity?
John Sicard: That's not what we see in the forecast at this stage. There's always an opportunity that bookings can far outweigh what we are expecting. But at this stage, I think what we've provided and guidance is our best judgment.
Operator: And there are no more questions at this time.
John Sicard: Great. Thank you, everyone for participating on today's call. We appreciate your questions. And as always your ongoing interest in support of Kinaxis. We look forward to speaking with you again when we record our Q1, ‘21 results. Bye for now.